Operator: Good day, and welcome to the Innospec Incorporated Q4 2014 earnings conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. David Williams. Please go ahead, sir.
David Williams: Thank you, and good day, everyone. My name is David Williams, and I am Vice President, General Counsel, Chief Compliance Officer at Innospec. Thanks for joining our fourth quarter and yearend 2014 financial results conference call. Today's call is being recorded. As you know, late yesterday, we reported our financial results for the quarter ended December 31, 2014. The press release is posted on the company's website, www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management's beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec's most recent 10-K report as well as other filings we have with the SEC. We refer you to the SEC's website or our website for these and other documents. In our discussions today, we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentations that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome all of you to Innospec's fourth quarter and full year 2014 conference call. We are very pleased with our strong fourth quarter performance, which represents a sales record for Innospec. This concluded a very good year for the company, as we delivered full year sales of more than $960 million, which gives us a run rate above $1 billion, a significant milestone. Ian Cleminson will get deeper into the numbers shortly, but I'd like to highlight that our gross margins improved in the quarter and for the full year closing at 31.4%, and our operating income was up very significantly 20% year-over-year, enabling us to enter 2015 well-positioned financially and with excellent momentum. We have accomplished this, despite some continued market difficulties around the world, including the decline in crude prices and lack of growth in some key economies and political instability and others. Positive contributions from our more recent acquisitions have played an important role in our success, supporting a solid performance from our established businesses, while paying close attention to the management of our cash and balance sheet. Our Fuel Specialties business finished the year with a great momentum, most notably in the Americas, which has shown consistently good performance throughout the year. We also had positive contributions from our recent acquisitions. In EMEA region, we faced a continuing sluggish economy and tough conditions in the refinery market, combined with unsettling political unrest and sanctions affecting Russia and Ukraine. Consequently, sales were up in EMEA compared to prior periods. Importantly, however, we managed to maintained fairly healthy margins in this region. In Asia-Pacific, I am pleased to report good progress throughout the year, given the previous reported loss of contract, and it clearly signals that this region is on track for future growth. Meanwhile, our AvTel sales were up significantly in the fourth quarter, principally attributed to buying patterns, rather than a fundamental change in demand. Our Oilfield Specialties business had a good fourth quarter and performed well for the year. Drilling specialties is showing continued improvement, while Production Specialties had another excellent quarter with a strong margin contribution. Independence Oilfield Chemicals, our most recent acquisition, exceeded our expectations during its first two months with Innospec. Importantly, we made very good progress at integrating our newer oilfield sites into our safety, health and environment standards, structure and processes. While we are pleased with our Oilfield Specialties business performance, we nonetheless are mindful of potential impact of oil price movements on rig count and our strategy. We believe that we are well-positioned to explore our technology and service to expand our market position, while remaining opportunistic to distressed assets in over-leveraged companies. Following an excellent nine months of our Performance Chemicals business had a softer final quarter. We believe that is the result of aggressive yearend destocking and holiday plant shutdowns as well as tighter working capital management, rather than a lack of future demand in the market. In fact, our order book going into 2015 is robust, and we expect near-term rebound in Performance Chemicals. In Octane Additives, sales to our remaining customer under contract were completed in the fourth quarter. We now have a firm contract for supply in the first half of 2015, but no clear visibility beyond this. I will now turn the call over to Ian Cleminson, who will review our results in detail, and then I will return with some further comments on the year as well as outlook and strategies moving forward, then we will take your questions.
Ian Cleminson: Thanks, Patrick. Turning to Slide 6 in the presentation. The company's total revenues for the fourth quarter were a record $290.7 million, a 20% increase from $241.6 million a year ago. The overall gross margin increased from last year to 32.4%, driven by Fuel Specialties with important contributions from our recent acquisitions. Our GAAP earnings were $1.11 per share compared to $1.17 per share reported in last year's fourth quarter. On an adjusted basis, our earnings per share were $1.16, up from $1.06 per share reported a year ago. EBITDA for the quarter was $49.5 million, a 28% increase over last year and net income for the quarter was $27.9 million. Moving on to Slide 7. Revenues in Fuel Specialties for the fourth quarter were $216.8 million, a record high and no less than 32% higher than the $163.8 million reported a year ago. The increase was primarily driven by sales growth in the Americas and substantial contributions from the recent acquisitions. Excluding the acquisitions, which added 26% to revenues, volumes increased by 3%, and a 6% richer sales mix offset an adverse currency impact of 3% in the quarter. By region, excluding the acquisition growth, revenues in the Americas grew by 13% due to improved volumes and a richer sales mix compared to a year ago. Sales fell 9% in EMEA from a strong performance last year, driven by lower volumes impacted by ongoing trading constraints in Russia and Ukraine, while sales in Asia-Pacific remain relatively unchanged from last year's fourth quarter, showing recovery from the previous contract losses. Margins in this segment improved to 32.2% during the fourth quarter and on a full year basis improved to 32.1%. Gross profit was $69.9 million in the fourth quarter, up 37% from last year's $51 million and operating income was $36.6 million. For the full year, sales in Fuel Specialties increased 20% to $682.2 million and operating income increased 13% to $104.4 million. Turning to Slide 8. Revenues in Performance Chemicals for the fourth quarter fell 2% to $51 million, impacted by large yearend and destocking holiday season plant slowdowns on working capital management than in prior years. However, order books going into 2015 are strong, and we expect the sales to rebound. Volume growth of 1% was offset by a 1% weaker sales mix and 2% adverse currency impact. By region, sales fell by 9% in the Americas and 11% in Asia-Pacific, but rose by 13% in EMEA. Gross margins were 23.1% in the fourth quarter. Performance Chemical's operating income for the quarter was $4.7 million, down from $6.5 million in last year's fourth quarter. However, overall sales for the full year rose by 16% to $223.5 million and the segment's full year operating income was $25.6 million. Moving on to Slide 9. Net sales in Octane Additives for the quarter were $22.9 million compared to $25.6 million a year ago. The segment's gross margin was 54.1%, a significant increase from the 39.8% in last year's fourth quarter. Gross profit was $12.4 million and the segment's operating income was $10.6 million, 25% higher than the $8.5 million last year. For the full year, the segment recorded net sales of $55.2 million, a 6% decrease from 2013, but its operating income increased by 5% compared to last year to $22.6 million. In the first half of 2015, we expect sales of $17 million in this segment, split equally between the first and second quarters. As you're aware, visibility with our one remaining customer remains limited, but we do expect to see a full year decline in revenues and operating profit over 2014. We will of course update you on our next call. Turning to Slide 10. Corporate costs for the quarter were $9 million, down significantly from $14.2 million a year ago. The decrease was primarily due to reduced legal and compliance costs. In 2015, we expect our corporate costs to normalize at approximately $10 million to $11 million per quarter. As expected, the pension charge was $0.8 million for the quarter. In 2015, we expect there will be a minimal pension impact and the full year cash contributions for pensions will remain at $10.8 million. The full year adjusted effective tax rate of 24.9% was higher than we predicted throughout the year, principally due to the fourth quarter increase in taxable income in the U.S. For 2015, we expect the full year effective tax rate to be broadly in the range of 27% to 29%. Moving on to Slide 11. We closed the quarter in a net debt position of $95.3 million, as the Independence acquisition closed, requiring an initial payment of $99 million. In the quarter, we also spent $6 million under the previously announced share repurchase program and paid $6.8 million semi-annual dividend of $0.28 per common share. This brought the total dividend for the full year to $0.55 per share, a 10% increase year-over-year. For the full year, net cash generated from operations was $106.3 million. As of December 31, we had cash and cash equivalents of $46.3 million and total debt of $141.6 million. We have indicated consistently that our strategy is to leverage our balance sheet strength to improve shareholder returns. As a result, our net debt is significantly below 1x EBITDA, leaving us with further capability for growth. And now, I'll turn it back over to Patrick for some concluding comments.
Patrick Williams: Thanks, Ian. To sum up, we are very pleased with our performance for the year, and particularly in the fourth quarter, which provided an excellent springboard for the business entering 2015. Both our core businesses and our acquisitions met or exceeded our expectations, and importantly, provided exceptional cash inflows. Once again, we delivered on our commitment, an important attribute of Innospec, and a tribute to our management team and all our Innospec employees. Significant movement in crude prices is both an opportunity and a challenge for Innospec. We will benefit from lower raw material prices in Fuel Specialties and Performance Chemicals, but we are mindful of the pressure on many of our customers notably in Oilfield Specialties. Our focus will be to continue to work with our customers, bringing the best available technology in most cost-effective manner and support them through this volatile period. Thanks to our close attention to cash and working capital management, we ended the year with net debt of $95.3 million, a strong balance sheet, by any measure. And its important to note that this excellent financial position was achieved after a capital spend of $21.9 million for the year and after absorbing the cash impact of a sizable acquisition, the buyback of some 138,000 shares under our share repurchase plan and a dividend return to our shareholders of $13.4 million. We are well-positioned in 2015 to face our future with continued optimism, mindful of the uncertainties of our markets. We intend to continue with our successful capital management program, which may include continued buybacks and an increasing dividend. We will focus on complimentary acquisitions and personal care, while being opportunistic, if there are distressed assets in the energy market. We appreciate the continued interest and support of our investors, the dedication of our employees and the loyalty of our customers. We are very confident about the future for Innospec. Now, I will turn the call over to the operator, and Ian and I will answer any of your questions.
Operator: [Operator Instructions] We will now take our first question from Ivan Marcuse from KeyBanc Capital Markets.
Ivan Marcuse: The first one that I had was in terms of your Fuel Specialties, you had really strong quarter. How much of the EBITDA contribution came from the IOC acquisition, and then also the AvTel, because you've mentioned that AvTel had a pretty strong quarter also in your press release, so I'm just trying to get an idea of the quantification?
Ian Cleminson: I'll talk about the question for you. Starting with AvTel, as you know the demand for AvTel is broadly flat or slightly declining over the longer term. So we occasionally see quarter-to-quarter spikes. This quarter in Q4, we saw an increase. There is no change in our longer term demand business. We don't actually breakout what AvTel is as part of Fuel Specialties. But it's a pretty small part now at the overall number. When we look at the Independence acquisition, we're really delighted with the way that business has started. It certainly hit all the numbers that we expected. It's at a around about $35 million through the sales number and it's about $3 million of operating income as well.
Ivan Marcuse: And if it's exceeding your expectations even in the current environment, do you expect this business to show some growth in 2015? And would you think -- do you still remain pretty confident in your, I think, you laid out $0.03 of accretion?
Patrick Williams: I think we're pretty confident moving into 2015, even under these circumstances that ran with lower crude prices. One of the strategies that we partaked in and looked at acquiring was obviously to being the lowest cost basins, and what we consider North America. And I think with the IOC acquisition, we've done that. As well as, it has a very solid top five customer base that really puts in a position to continue our growth. There is no doubt, there will be some headwinds in this business with crude being under where it is today either at $50 to $53, trading at the time. But I do believe with the production side balancing out the drilling fracs inside, we're in a good position to, a, not go backwards; b, potentially have growth over 2014.
Ivan Marcuse: And then last question, I'll jump back in the queue. You've mentioned raw materials being favorable. Could you see a favorable impact in the fourth quarter in Fuel Specialties and Performance? And by how much was sort of your, I guess, year-over-year improvement in your variable margin, if you will?
Patrick Williams: We really didn't see it much in the fourth quarter. I think we'll see a little bit of benefit that, you'll start to see in the first quarter.
Ivan Marcuse: So is raw materials essentially flat for you on a year-over-year basis in the fourth quarter, in the two segments?
Patrick Williams: They were. But more importantly, it takes some time to filter up lower cost raw materials through your system. So you're just at a lag like you typically are up or down in raw materials.
Ivan Marcuse: So you would expect to see an uptick all else equal in the first quarter in both segments as a result of raw materials.
Patrick Williams: That's correct.
Operator: We will now take our next question from Jon Tanwanteng of CJS Securities.
Jon Tanwanteng: Regarding the strength in AvTel again, was there a pull-in from future quarters or more of a catch up. Just trying to quantify it, what we can expect going forward?
Patrick Williams: Yes, it was a pull-in from Q1 2015.
Jon Tanwanteng: And then on oilfield again, I think the previous caller mentioned IOC, but is the overall business including Bakken Australia expected to grow? And are margins in that business is still above the core Fuel Specialties margins?
Patrick Williams: They are probably a tad below core Fuel Specialties margins on an overall basis, Jon. I would expect, if you look at this environment, and obviously listen to other calls, that are people in the oilfield services business, there's an expected large decline in their overall business for 2015. I think because we're still a small player in this market, but we have fantastic technology and a good market price to get into the market, we feel confident that we can at least stay flat over 2014, and there is a slight chance that we can grow this business, obviously depending on what crude prices do in the latter part or the middle part of the year as well.
Jon Tanwanteng: And then any updates on either additional M&A or divesting of non-core businesses, what was your strategic plan over the next year or so?
Patrick Williams: As we mentioned a little bit in the script, we've kind of have backed up a little bit in the oilfield obviously to see what filters out in this market. It's been chased by private equity. It's been chased by venture capital. There is a lot of stressed assets in the market right now and stressed balance sheets. We really want to see what happens over the next six to eight months, and kind of sit back and make sure that we've showed up our own shop. So really, we're focusing on personal care, right now. I wouldn't say there is anything in the immediate term. It's just part of our strategy that we've put together, over the many years we've been discussing with you and our shareholders, and that's still our focus right now.
Jon Tanwanteng: And then finally, how should we think about the impact of currency on the top and bottomlines in '15?
Ian Cleminson: Yes, Jon, as we've mentioned on previous calls, our trading business is pretty much naturally hedged. So when we see gains and losses in the sales line, we tend to see compensating gains and losses in the cost lines. So at the operating income level we tend to be naturally hedged, so there is no impact by currency.
Operator: We will now take our next question from Christopher Butler of Sidoti & Company.
Christopher Butler: I was hoping you would go into a little bit more detail on the lower legal and compliance costs, when you had began beefing that up a year or so, maybe a little bit more ago. I was under the understanding that this was ongoing and would be supporting the acquisition strategy. Was I under the wrong impression or is something changed here?
Patrick Williams: No, Chris. I think what we've been saying for a while now is as we went through our enhanced compliance program. We have a monitor on board. We have a number of external legal firms involved in our business. And we've now positioned ourselves with what we think is a world-class compliance system and that's what we needed. Since 2010, we've been working really hard on that. We've also had a number of legal cases that we've had to deal with over the past couple of years as well. And as you remember, the Al-Gaood case was successfully concluded in our favor quite recently. So we're past all those costs now. We're now down to corporate cost run rate of between $9 million to $11 million per quarter depending on what we're doing and where we might be at that particular time. So I think we're in a great shape now, and that's the number that we're pretty happy with.
Christopher Butler: And as we look at the potential M&A, and understanding that you're kind of still folding some of the prior deals. And you had talked about personal care products as being a target with falling oil and maybe some opportunities there, has that moved oilfield services back on to the radar screen a little bit given a little bit of time?
Patrick Williams: Yes, I think this is going to take some time for those assets to be stressed. I mean, as I alluded to earlier in the previous question, we talked about de-stressed asset and stressed assets and bouncing in that market. I think it's going to take about six to eight months for really for that market with low crude prices to really see what happens and shake out. As I stress to our employees and I stress in my own private life that good companies become great companies in difficult times in upside down markets. And I think this is the perfect example of an upside down market. We have a great balance sheet. We will watch. We will see what fits best for our portfolio with its technology or assets. But in the meantime, we're just going to push forward and bring the best technologies and pricing to our customers, and as well as stay focused on personal care.
Operator: We will now take our next question from Bill Dezellem of Tieton Capital Management.
Bill Dezellem: Group of questions here. First of all, relative to your comments in the opening remarks about the Performance Chemicals business having a strong order book going into this year. Would you please provide some more commentary around that?
Patrick Williams: Bill, I'll answer real quick for you. We saw a little slowdown in the 2014 fourth quarter. And that was primarily due, and we know this from obviously our direct conversations with our customer base, there was a lot of cash conservation. There was plant shutdown. There was a lot of push in the Q1 of '15 as an order. And so what we've seen that are already booked going into Q1 2015 is a strong order pattern, it's as we expected. I think we would have been a little concerned if we didn't see the robust order pattern moving into this January, February timeframe. And that it's exactly as we expected.
Bill Dezellem: So in essence kind of the opposite of aviation additives, where that was pulled in to the fourth quarter from the Q1, really this is just again a shifting of business out of Q4 into the Q1.
Patrick Williams: You're exactly right.
Bill Dezellem: Shifting then if we could to the fuel additives business, the lower crude price, what impact, if any, does that have potentially on the adoption of additional fuel additives by various constituencies around the globe?
Patrick Williams: It's tough question to answer. I mean, what I will tell you on lower crude prices, it does put a little hamper on alternative fuels, whether its LNG, whether its ethanol-based, whether its electric-based hybrids. It is just typical supply demand when you have lower prices, people tend to take their eye off the ball. I think for us, lower crude prices gives us lower input cost and that benefits Fuel Specialties. You're obviously going to have to give some of that back to the customer base as expected and as anticipated. But we feel that long-term, this is a very, very good for Fuel Specialties and for oilfield on the oil and chemical side. And we feel, we'll see a benefit of that in the business. Short-term, it will effect on the Oilfield Specialties business, but that's only about 20% to 25% of our revenue right now. So between 70% to 75% of our revenue it's a positive impact.
Bill Dezellem: And part of where I was going with the question is wondering if because the price of crude is lower, that would imply the price of diesel is lower, and it would mean the price of your additives was lower, which might then lead some entities to make the decision that they could afford to basically put an additional layer of cost on to the public, because it's coming from a lower base. Is there any logic to that thinking it all?
Patrick Williams: Yes, there is some logic to that, not in the more mature countries. There is some logic to that more in the countries that have, what you would say, as unstable political environment and/or an environmentally unfriendly environment. If you look at the likes of China, if you look at the likes of countries like India, where they have extremely bad air quality, being low crude prices albeit pricing by the government is really dictated, I think with lower crude price as you could see a very big differential over time of them adopting some measures sooner rather than later. I don't think you'll see it happen -- it's not going to be a quick response. We've only down here with these low prices for a while. I think you're going to have to see a continued couple of quarters of low crude price for that to happen.
Bill Dezellem: And then if I may a couple of just quick ones. Did we hear correctly that the lead additives business, it was $23 million in the fourth quarter and really what you're looking forward in the first and second quarters is $17 million split between the two or $8 million to $9 million per quarter?
Ian Cleminson: Yes, it's $8 million to $9 million in quarter one, and $8 million to $9 million in quarter two, totaling $17 million for the first half of the year.
Bill Dezellem: And then you had a new line item on your balance sheet and that was a $45 million pension asset. Can you discuss that especially in light of the fact that you also have a $10 million pension liability?
Ian Cleminson: Yes, sure, Bill. I'll try and keep this pretty short sure. We have a U.K. pension plan. It's a final salary scheme that's been closed since 2010. And every yearend we have to revalue those assets. And very simply it's been a small liability or small asset for a number of years, it bounces between the two. And given the strong investment returns we've had, the assets have grown quite nicely in our business and it's reflecting to an asset. We also have a small German pension plan as a small liability and that's why you've got the two split apart like that.
Bill Dezellem: So those are not allowed to be netted against each other?
Ian Cleminson: That's correct.
Operator: We will now take our next question from Chris Shaw of Monness Crespi.
Chris Shaw: I just wanted to clarify an answer from before. When you were talking about, you're hoping to be at least flat, possibly grow this year. I couldn't figure out if you were talking about specifically IOC, the entire Oilfield Chemicals business or Fuel Specialties business in entirety?
Ian Cleminson: I think what we're talking about, Chris, was if you go back to when we first acquired the Independence business, we talked about our combined oilfield business being around about $260 million of revenues at that point. Our intention and desire is that we can continue to hold that $260 million of revenues as we go into 2015. So what we don't expect to see is our business going backwards.
Chris Shaw: And then for the quarter did you say for IOC, it was $35 million in sales?
Ian Cleminson: That's correct. We had only two months of the IOC business in our results.
Chris Shaw: So relative to, I think, when you acquired it, you said it was about a $150 million run rate annual, that seems like two months of $35 million would be a lot higher than that. So does that sort of what you were referring to when exceeded expectations?
Patrick Williams: Yes, they did exceed expectations. We still expect our run rate, where we talked about to keep within that $260 million for the combined entities.
Chris Shaw: And then, you mentioned I think it was a $3 million in operating income also for the quarter. I assume there is some acquisition costs that were included in there? And if so, were there any that continue into first quarter?
Patrick Williams: Yes, the acquisition cost won't be reported in the Independence results, also in the corporate line. There will be some additional amortization monetizations from U.S. GAAP accounting which will flow through Fuel Specialties, but yes, the operating income was about $3 million for Q4.
Chris Shaw: And then someone else asked about raw materials, but where do you see, I guess, your raw materials playing right now. What sort of an impact did lower raws have just on the cost? I'm not factoring any sort of adjustments you might have to make on your own products in terms of pricing, but just how much overall is down do you think is your basket now at this point?
Patrick Williams: I think as you know in the chemical business, and it's traditionally this way, there could be a three to six month lag up or down. So I think once we get through the first quarter, Chris, we'll be able to give you a better idea of really what the percentage is going to be increase. We do think it will go up a little bit, but obviously we're prepared to protect our customer base and make sure being fair to them as well. So I think after the first quarter, we'll be able to give you better answer on where we think GP ought to be calculated in the Field Specialties arena for the year.
Operator: We will take our next question from Gregg Hillman of First Wilshire Securities Management.
Gregg Hillman: Patrick, I wanted to ask you about that press announcements from January with the TruClean Water Service. And could you just kind of explain what it is and what it does? I didn't quite get it and why you think it's important or material to the company?
Patrick Williams: As you know, Gregg, you get a lot of water, frac water, and either frac stimulation or even just water coming out of the ground. This is a process that helps not just minimize the amount of water, but give you much cleaner base water in the product. And wherever you are in the Permian Base and Eagle Ford or the Bakken, you have a lot of water issues and you have tend to use a lot of water for fracking. And that's why this technology was formulated. These guys have done a really good job on the first jobs. We will see how it really develops over the next 12 months.
Gregg Hillman: Is it a filtration thing for your recycling or using water?
Patrick Williams: Its part filtration, its part chemical.
Gregg Hillman: And what do the chemicals do?
Patrick Williams: I really, probably could not give that to you over the phone, I'd rather put you with a technical person to give you move details.
Gregg Hillman: But do you think, potentially this could be in the tens of billions, this service or in the tens of millions?
Patrick Williams: I think it still have some time to prove itself out. I think it's got great potential. It's just too early in this stage to put a number on it.
Gregg Hillman: And you're saying it's better than the other solutions that are currently on the market for the same problem?
Patrick Williams: Yes. For the cost, absolutely.
Operator: We will take our next question from Ivan Marcuse of KeyBanc Capital Markets.
Ivan Marcuse: Just quick follow-up on the Octane since your volume is going to be net $7 million to $8 million, so your fixed cost absorption or profitability in terms of contribution be dramatically lower as you sort of cover the fixed costs on lower revenue base?
Patrick Williams: Certainly, I mean for the full year, we'd certainly expect to see a slight drop in our gross margins and playing out and obviously that will feed-through to the operating income line as well.
Ivan Marcuse: And historically, you talked about raw materials coming down and be a benefit. How quickly does the pricing flow thorough? I know you're still sort of thinking how it's going to work out today. But historically, have you given it all back eventually or is there a delay or how does it typically work?
Patrick Williams: It's typically three to six months, I think, over a period of time and you can look at the results are pretty consistent. You typically have to give a lot of that back, if not all of it overtime. I think we should see a benefit in Q1. I think we should see a benefit in Q2. And all of that depends really on, Ivan, what happens to crude over the next 90 days. If we could see consistently low prices, like we believe there will be, we might be able to keep some of that benefit.
Ivan Marcuse: And then your North America business, Fuel Specialties has shown some nice growth rates in terms of volume over the past couple of quarters. Within North America, how consistent can that remain? I mean, it's a pretty low growth environment. Would you revert back to the mean or is there something going on in North America, where you're just seeing a lot more growth than maybe say Europe or such?
Patrick Williams: Yes, you're definitely seeing more growth in the Americas versus EMEA. I think if you look at our strategy, when we said we want to put really our stable foot into Canada, and put an office in Brazil, and focus on Mexico as well, we've done a very good job at doing it. Our guys in the Americas have really done a good job managing this business and growing this business, and they're prepared for it. And obviously with low crude prices, you have more consumable money in your pocket, and so people are driving more, and that's definitely a benefit. It's been a good benefit to the whole Americas business. And I think, secondarily, and don't forget this, is that we have great technology and we really work with our customers to bring in the best technology in the marketplace at the best cost. And they have done a great job doing that really throughout 2014 and coming into 2015.
Ivan Marcuse: Americas is primarily diesel, correct?
Patrick Williams: Yes. Well, if you look at the U.S., its primary gasoline. Over the road, it's diesel. It's a big gasoline market, but we focus on diesel.
Ivan Marcuse: I meant your focus is -- Innospec's focus is primarily diesel, not necessarily --
Patrick Williams: That's correct.
Ivan Marcuse: So would you describe your growth as more still a function of market share growth or is it a function of market, just general demand? I guess the question is, are you taking market share?
Patrick Williams: Yes, we are. It's both.
Operator: As there are no further questions in the phone queue at this time, I would like to hand the call back to Patrick Williams for any additional or closing remarks. End of Q&A
Patrick Williams: Thank you all for joining us today. And thanks to all our shareholders and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed on this call, please give us a call. We look forward to meeting up with you again later this year. Have a great day.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.